Operator: Good afternoon. My name is [Brittany] and I will be your conference operator today. (Operator Instructions) [Mr. Switz], you may begin the conference.
Unidentified Company Representative: Thank you. Good afternoon and thank you for joining us on the call. Bob Switz, ADC's Chairman, President and CEO, and Jim Mathews, ADC's CFO, are with me today. Before we get started, I need to caution you that today's conference call contains forward-looking statements and that future events and results could differ materially from the forward-looking statements made today. Actual results may be affected by many important factors, including risks and uncertainties identified in our earnings release and in the risk factors included in Item 1(a) of ADC's annual report on Form 10-K for the fiscal year ended October 31, 2007 and as may be updated in Item 1(a) of ADC's subsequent reports on Form 10-Q or other reports filed with the SEC. This earnings release can be accessed at the Investor Relations section of ADC's website at www.ADC.com/Investor. Also, we have shortened our earnings release and placed links to our Form 8-K, where you can review the financial statements. ADC's comments will be on a continuing operations and GAAP basis. As previously announced, our Professional Services business in EMEA is classified as discontinued operations. The results referenced on this call and any guidance is exclusive of the EMEA Professional Services business unit. 2008 EMEA Professional Services revenue was $37 million and its operating income was neutral. Bob will provide an update on ADC's business developments and highlights. He will then turn the call over to Jim, who will cover the financial results and provide forward-looking financial model guidance for the first quarter of fiscal 2009. I will now turn the call over to ADC's Chairman and CEO, Bob Switz. Bob?
Robert E. Switz: Thank you, [John], and good afternoon to everyone on the call. I'd first like to begin today by thanking all of the ADC employees worldwide for their hard work and for delivering a very good set of results in fiscal year 2008. ADC experienced a solid year, despite facing substantial headwinds from an increasingly challenging global macroeconomic environment. In fact, there were many highlights across our business in FY '08 that give us confidence that we are entering 2009 in a very good position to face the uncertainties that might lie ahead. Given the current economy, perhaps our most significant accomplishment in 2008 was our ability to further strengthen the company's balance sheet. We are beginning the new fiscal year with about $631 million in cash. Cash flow provided by operating activities from continuing operations provided $174 million in fiscal '08. Our cash position enabled us to execute and just last week complete our $150 million share repurchase program. This program is important as it reflects our ongoing confidence in the long-term potential of ADC's business. We will stay very focused on maintaining a strong balance sheet in 2009 and will continue to monitor the external environment very closely. At the same time, we believe that our strong financial position, coupled with our leading market positions in fiber-based and wireless communications networks and enhanced global presence, will give us a competitive advantage and makes ADC a valued company to work with, particularly in these uncertain times. During 2008 we had many other accomplishments that reflect ADC's solid position in the telecommunications marketplace. We grew our revenue to $1.46 billion, a 14% increase over 2007. We also had a very good year internationally, with revenue outside of the United States of $594 million, representing more than 40% of our overall sales. This broadening revenue base continues to demonstrate the successful diversification of ADC's business as we grow in other geographies. We made further strides in establishing a global fiber leadership position within our industry. We executed very well on our strategy of achieving significant fiber growth in 2008, taking central office, data center and FTTP market share across the globe. Our continued success in the world's largest FTTX projects has been recognized by other large carriers and has led to new FTTX trials across Central and Latin America, EMEA as well as Asia-Pacific. In 2008, we successfully integrated LGC Wireless into our business, which gave us critical mass and a broader product portfolio in our wireless coverage and capacity business. Carriers and large enterprise customers are relying on ADC wireless solutions to deliver high bandwidth wireless services. We also have carrier/customer trials under way in key markets worldwide for our newest microcellular solution. We also successfully integrated Century Man in 2008, giving us a significant presence in the important China market, along with the strategic ability to serve other rapidly growing developing markets better. The performance of both LGC Wireless and Century Man has again demonstrated our ability to make the right strategic acquisitions. And finally, our competitive transformation initiative continued to provide very meaningful manufacturing and supply chain cost savings and customer relationship dividends throughout the year. These savings help offset margin issues that can be caused by pricing pressures or unfavorable product sales mix. In fact, this is really no longer just an initiative, but is now embedded into the fabric of our business operations. While ADC had a good year, we are also experiencing some challenges associated with the global economic climate. As we recently noted in our pre-earnings announcement, we are planning for moderately lower revenues in fiscal year 2009 based upon lower industry forecasts. In this uncertain business environment, we are taking necessary measures to better align our business with our strategic areas of focus and ensure that we maintain our solid financial position. We have streamlined our manufacturing and operations. We have made important geographic and market investment decisions. And again, we have built and are committed to maintaining a strong liquidity position that should allow us to weather a downturn of various severities. While there's no question that we are facing a difficult external environment going into 2009, we will continue to look for targeted opportunities to invest in our business and establish a stronger position in our industry. In 2009, we'll maintain our strategic focus on delivering fiber connectivity throughout the network, enabling wireless capacity and coverage, pursuing rapidly growing markets, and continuing our competitive transformation program. To conclude, we believe that our strong balance sheet, our solid relationships with our global customer base, and our strong position in the high growth segments of fiber-based and wireless communications networks worldwide leave ADC well positioned to weather the current downturn. Furthermore, we remain committed to managing our business strategically for sustained long-term financial growth, with a goal of maximizing stockholder value. I'll now turn the call over to Jim for his comments on our financial results for the fourth quarter and our guidance for the first quarter of 2009. Jim?
James G. Mathews: Thank you, Bob. Good afternoon, everyone. I'm going to begin with an overview of our fourth quarter operating results, focusing first on the more significant items. In advance of that, however, as John stated in the introduction to the call, we have filed our financial statements in an 8-K on a link to our press release, and there was, as John mentioned earlier, $37 million in our APS, that is, our Services business in EMEA which is now in discontinued operations. So for quarterly comparables, I'm just going to give the quarterly revenue and OI effect so that those on the call who are wanting to track this against prior quarter results will have the ability to do that. So throughout the year, APS EMEA in quarter one generated $9 million of revenue, in quarter two, $10 million of revenue; in quarter three, $9 million of revenue, and in quarter four, $9 million of revenue. That's $9, $10, $9 and $9 throughout the year. The operating income impact of our APS EMEA business was immaterial. Now I'll move through the fourth quarter results specifically and, again, excluding the APS EMEA business. Our fourth quarter sales of $352 million grew 10% year-over-year and were down 8% from the third quarter of 2008. This 2008 fourth quarter sequential decline compares to a 2007 decline of 4%. Excluding sales from the LGC Wireless and Century Man acquisitions, fourth quarter 2008 sales were flat on a year-over-year basis. Adjusted gross margins were 31.5%, which I will expand upon later. This compared to adjusted margins of 34.2% in the third quarter and 35.4% in last year's fourth quarter. GAAP diluted earnings per share was a loss of $0.39 in the quarter, but this included $0.58 per share of charges that I will detail below. Total cash provided by operating activities from continuing operations has remained strong. Our business generated $62 million in the fourth quarter and $174 million over the past 12 months. Now, reviewing these consolidated earnings at a more detailed level, as I stated, our GAAP diluted earnings per share from continuing operations was a loss of $0.39 in the quarter, but this includes $0.58 of certain expenses which are comprised of $0.23 for a securities impairment, $0.09 for an outdoor wireless inventory charge, $0.07 of amortization of purchased intangibles, $0.02 per share of stock option compensation expense, $0.03 for an adjustment to our tax valuation allowance, $0.11 for restructuring and operating impairment charges, and a $0.03 per share addition to our ACX inventory reserve. On a GAAP basis, the third quarter of 2008 earnings per share was $0.11 and last year's fourth quarter was a loss per share of $0.07. These included $0.15 and $0.37, respectively, of certain expenses, the dollar amounts and related EPS impacts of which are listed in the supplementary information section at the back of the earnings release. Adjusted gross margins were 31.5% in the fourth quarter compared to 34.2% in the third quarter of 2008 and 35.4% in the fourth quarter of 2007. This decline in gross margins on a year-over-year basis was due to cost increases in raw materials, including commodities and fuel and our [break in audio] connectivity solutions business, along with an unfavorable [mix shift] towards outside plant and enterprise products. This sequential decline in margins from the third quarter of 2008 was due to higher inventory and warranty charges, lower productivity levels across our businesses from the decrease in revenue volume, and an unfavorable product mix shift towards lower margin outside plant and enterprise products, as well as professional services. We expect that the recent commodity and fuel cost declines, along with the cost savings from our recent restructuring activities, will improve our gross margin performance in the first half of 2009 depending on revenue levels and product mix. Selling and administration expense was $80 million in the fourth quarter, and R&D expense was $20 million, both down slightly from our third quarter. A few comments on working capital. Our DSOs were 55 days, up slightly from about 53 days in the third quarter. Fourth quarter inventory turns improved to 6.3 times from 5.3 in the third quarter. As stated earlier, we generated $62 million in total cash from operating activities from continuing operations in the fourth quarter and $174 million for the 12 months ended October 31 of the year. Depreciation and amortization expense was $21 million in the fourth quarter, which is unchanged from the third quarter. Property, equipment and patent additions produced a net expenditure of $42 million in the 12 months ended October 31 versus $30 million in the prior fiscal year. ADC's total cash was $631 million as of October 31, 2008, which compares to $657 million on August 1, 2008. And during that quarter, approximately $60 million was spent on the repurchase of ADC shares, and that is net of that number. Let me move on quickly to guidance. As you know, in recent years ADC has provided only annual guidance; however, due to the extraordinary level of uncertainty in the marketplace and the economy today, we will only be providing guidance for our first quarter of 2009 during this call. While we believe that the long-term fundamentals of the industry remain sound and that ADC is in a very good financial position to compete in this tough environment, due to this lack of visibility, we believe providing quarterly guidance alone is prudent at this time. With respect to our guidance, please also note that beginning in fiscal 2009 we will be including stock option expense in our non-GAAP results. Previously, we have been excluding stock option expense from our non-GAAP expense. Stock option expense during 2008 was $7 million. ADC expects our first quarter 2009 sales to range from $255 million to $290 million. Based on this Q1 sales estimate and subject to sales mix and other factors, GAAP diluted EPS from continuing operations for the quarter is estimated to be from a loss of $0.05 to a loss of $0.17, which includes acquisition amortization charges of $0.09 and stock option expense of $0.02, but it excludes potential unknown non-cash charges. While not providing full year guidance, I will note that currency fluctuations in 2008 have been unpredictable. Assuming constant currency rates at current levels in fiscal year 2009, we estimate the currency impact to revenue on a year-over basis to range between 4% and 6%. That would be 4% and 6% lower as a result of foreign exchange changes between fiscal 2008 and fiscal 2009. As previously announced, we will be changing our fiscal year end to September 30. Our 2009 fiscal year that began on November 1, 2008 will end September 30, 2009. We will continue on our present quarterly reporting cycle that corresponds to an October 31 fiscal year end through our third quarter, which will end on July 31. We will then use our annual report on Form 10K for fiscal 2009 to transition to a quarterly reporting cycle that corresponds to a September 30 fiscal year end. Therefore, our fourth fiscal quarter of 2009 will be approximately two months in length. As we've stated throughout today's conference call, we believe ADC is well positioned to address the challenging macroeconomic environment in 2009. We will also look for opportunities to build on our leading positions in the global network infrastructure market in this environment. As such, we'll continue to make strategic investments in target markets and geographies that we expect will strengthen our competitive advantages and deliver additional stockholder value. Operator, I'll now turn it back to you and open up the call for questions. Thank you.
Operator: (Operator Instructions) Your first question comes from Scott Coleman - Morgan Stanley.
Scott Coleman: First, maybe a housekeeping question. I haven't been able to find the revenue breakdown by product category like you provided in the past. Are you stopping providing that or am I just not looking in the right place?
James G. Mathews: We are not providing that in the release.
Scott Coleman: Will you provide it in your filings?
James G. Mathews: In our 10-K filing?
Scott Coleman: Yes, or 10-Q?
James G. Mathews: Yes.
Scott Coleman: Okay. That is, I think, an important element to understand what's going on in end demand. I know I speak for a lot of the folks on this call and your investors that I think it's valuable information to have at the time of the release.
James G. Mathews: Okay.
Scott Coleman: Maybe moving on to my question, Bob, if I go back to 2005, you guys had a very challenging fiscal Q1, down 30% quarter-over-quarter. But also at that time was the very early stages of FTTX rollouts. I note that both in your press release and on the call you talked about a significant number of trials under way for FTTX, and I'm wondering - I think everybody gets that the macroeconomic is very different, but could you give us an idea of what you're seeing in the carrier landscape in terms of these FTTX trials? When do you think they might turn into revenue? Could they be the same kind of materiality that we've seen over the last three or four years from ADC?
Robert E. Switz: Yes. You know what? It's a great question, and there are many spread around different geographies in the world. They're all on different time tracks; they're all of different size and scope and scale. And I guess my view is consistent with what I said several years ago in that I believe the international marketplace would start to come on about the time that the U.S. market would peak, and I think that's in general playing out. I would not anticipate in 2009 any meaningful revenue coming out of these trials. I would expect that we would start to see awards during 2009. I think some of these will go from trials to RFPs and awards, which should start the revenue streams in 2010. How do they stack up in order of magnitude against the U.S.? Hard to tell at this point in time, but they could be quite meaningful. But we're not going to see, I don't think, we're not going to see one carrier that resembles Verizon, okay? But I do think you're going to see a number of very sizeable awards or programs, and I think it really will depend in our case how many do we prevail in. That's going to determine what kind of a boost we get to the FTTP business over time. But we're highly engaged. We're involved in many. There is one that's in [RST] now, and it's in a highly competitive price-sensitive market with a highly price-sensitive customer, so we're not sure exactly how that will play out. We do expect to win some portion of that, so that could be one that we potentially announce in 2009. But I think you ought to think about these international opportunities as more in some cases progressing to larger and more serious trials in some cases to progressing to awards in others that will begin to hit pay dirt mostly in the 2010 timeframe and beyond.
Scott Coleman: And if I could ask one follow up, are there deals or RFPs, maybe this one, that the pricing is so aggressive that you would consider walking away from to preserve margins?
Robert E. Switz: The answer to that is clearly yes, okay? We're doing a couple of things, so let me comment on that. We are developing product for highly sensitive markets in our Century Man facility in China, so we have a portfolio that is geared to address some of the competitive needs of these price-sensitive markets. So it's not exactly the same product you're going to see in a Verizon network, but it would be comparable to some of the competition we might face in price-sensitive geographies. The portfolio is not as yet as extensive as the one we have here in the U.S., but at least we have a start and if some of these awards indeed begin to take place out in 2010 and so forth, the portfolio conceivably could be expanded by then and put us on equal footing. But the answer is yes, we will walk from business that we're not going to make a reasonable return off of. But we're trying to get ourself in a position so that we could accept lower pricing on some of these and still make a respectable gross margin.
Operator: Your next question comes from Lawrence Harris - C. L. King.
Lawrence Harris: The revenue guidance obviously for the first quarter is down year-over-year. If you were to just to look at the various - excluding the acquisition - if you were to look at the various product categories such as copper connectivity or fiber connectivity or network solutions, is there one area where you're seeing greater impact and other areas where there's probably less of an impact on a year-over-year basis?
Robert E. Switz: I'll answer that maybe a little bit differently and maybe not as granular as that, and if Jim wants to provide some more color around it, I'll let him. To address our first quarter guidance, I think what we're doing is being very careful just given the lack of clarity and what I think will be somewhat delayed decision-making on the part of our customers around their budgets and spend for 2009. You know, we've gone through this year with certain customers not having recovered from prior years due to M&A considerations. We've all heard the rumors in terms of what AT&T may or may not do, Verizon, and so on and so forth. You know, AT&T this year, to the best of my knowledge, has virtually overspent their budget and that has been spent, so the balance of the year, I think, obviously, the calendar year, is probably going to be light from AT&T. They have a lot things they're considering in terms of their capital spending considerations. So I think from our standpoint one of the things that we're trying to account for is what we do believe will be a slower start to the fiscal year due to macroeconomic uncertainties, okay? So we're trying to account for that. Now, getting specific around product areas, we do think copper in the U.S. and FTTP in the U.S. will probably be down a little bit, and potentially, you know, our in building could be down in the first calendar quarter. So those are the areas that right now we think may be soft, but in general I don't think they skew it dramatically. We had a project last year in Dubai that was pretty significant on a quarter-over-quarter basis, something in the neighborhood of $10 million in one project, that we won't see again in the first quarter. So from my perspective, there's nothing really unusual going on other than what I think is the result of a lot of discussion and relatively potentially prolonged decision-making in the customer base as macroeconomics unfold. I think this is true in the U.S. as well as in other places. There are customers that are going to want to make sure that they're going to have the financing that they need to support their capital programs, you know, what's happening in their customer base, where do they want to spend their money, in what particular part of the network. So I think we've reasonably accounted for that in our assessment for the first quarter. I would also go on to say that I wouldn't necessarily draw a hard conclusion on what that may mean for the year. Right now, assuming some sort of a continuation of where we're at and not complete catastrophe, I think it's conceivable that we could see the year - some of what we're seeing in the first quarter potentially come back in subsequent quarters. So I wouldn't draw too strong a conclusion yet but, quite frankly, we just want to be conservative.
Operator: (Operator Instructions) There are no further questions at this time.
Scott Coleman: Okay. Well, thank you very much for participating on the call and at this point we're going to end the call.
Operator: This concludes today's conference call. You may now disconnect.